Operator: Good morning, ladies and gentlemen, and welcome to MISTRAS Group’s Earnings Conference for its Fourth Quarter ended May 31, 2015. My name is Syed and I will be your event manager today. We’ll be expecting questions after management’s prepared remarks. Participating on the call from MISTRAS Group will be Dr. Sotirios Vahaviolos, Chairman and CEO; and Jon Wolk, Executive Vice President and CFO. I will now hand the conference over to Dr. Vahaviolos. Please proceed.
Sotirios Vahaviolos: Syed, thank you very much and good morning to all. In today’s call, we will review MISTRAS Group’s financial results for the fourth quarter and the entire fiscal year 2015 that ended May 31 and discuss our prospects going forward. Our market during our fiscal year 2015 was a tail of two different halves. In the first half, market fundamentals were strong. The price of oil was consistently near $100 per barrel and there were few uncertainties concerning labor. In the second half, the oil price was reduced by half and the refinery labor strike created tremendous uncertainty because no one knew whose refinery would be the next to be effected. These factors caused projects and turnarounds to be deferred and cause everyone to tie on their belts and look for ways to reduce spending levels. These factors have effected our business because the deferrals and spend reductions have impacted opportunities for organic growth. In addition, opportunities for price increases in the oil and gas space are virtually new. Simply, holding existing prices has become the short-term goal because our business model is highly dependent upon recurring work and is a necessary part of the production process. Our financial performance has been resilient. In fact, as Jon will tell you in his commentary, we managed to improve our profitability in North America despite this difficult backdrop as we have been successful in five different pieces both for MISTRAS and for our customers. Our international operations including Canada were the reason our worldwide profitability was lower than we expected. Accordingly, we have started our operations and made a number of important changes to simplify the way that we do business and reduce cost. These includes first we divested our international subsidiaries in Russia and Japan. We sold these companies to the respected local management teams although we recognized a loss on sale. We took this action because these subsidiaries were losing money and causing a disproportionate amount of time to manage considering the limited upside that we see from them in the foreseeable future. Two, we recognized our services, re-organized our services leadership team. Mike Lange was promoted to Vice Chairman and took over our business development and strategic planning. Dennis Bertolotti was promoted as group’s Executive Vice President, overseeing the services business in the Americas. We also reduced a senior management by one member and recognized severance costs. Three, we will reduce headcount in almost all of our international subsidiaries. We did this in order to bring stocking levels into alignment with existing and expected levels of business. We also changed a key operating manager in Canada. We recognized severance and lease termination costs relating to these initiatives. We expect that the community – of these changes will reduce cost by approximately $3 million in fiscal year 2016. At the same time, we have been actively engaged in dialogues with our customers and our employees developing suggestions that can improve efficiencies and reduce their spending. To improve profitability, we’ll continue to press forward on several of our operational initiatives that Jon will now discuss and as our team knows, these are my top priority. Jon?
Jon Wolk: Thank you, Sotirios. I remind everyone that the remarks made during this conference call will include some forward-looking statements. The company's actual results could differ materially from those projected. Some of the factors that could cause actual results to differ are discussed in the company's most recent annual report on Form 10-K and in other reports filed with the SEC. The discussion in this conference call will include certain financial measures that were not prepared in accordance with U.S. GAAP. Reconciliations of those non-U.S. GAAP financial measures to the most directly comparable U.S. GAAP financial measures can be found in the company's current report on Form 8-K filed yesterday. These reports are available on the company's website in the investors section and on the SEC website. Now, I will summarize our financial results and then I will comment on our initiatives to improve profit. Revenues for the fourth quarter of fiscal year 2015 were $174.7 million, a 2.5% reduction compared to the prior year’s Q4. Instead of declining revenues would have grown by nearly 3% had FX rates been in line with prior year. Services revenue grew by 5% in Q4, but we’re more than offset by international 24% decline of which 19% was FX and product services – products and systems 19% decline. Services revenues were adversely impacted by about $1 million due to a rainy May in the Gulf region. For the entire fiscal year, the company’s revenues grew by $88 million or 14%. Revenues from the services segment grew by $97 million or 22% offset in part by single-digit revenue decline for international that were mostly FX and products and systems. Most of the services growth was driven by acquisitions, but services also experienced 6% organic growth for the year that was reduced to 4% for the global company due to single-digit organic declines from international and products. The services revenue growth slowed from 38% in the year’s first half to 8% in the second half driven by the dramatic change in the market that Sotirios spoke of. During the fourth quarter, we’ve reorganized approximately $5 million of pre-tax charges, the majority of which were included as SG&A expenses. Inclusive of these charges, our Q4 gross margin was 25.7% nearly in line with the prior year’s 25.9%. Exclusive of these charges, our gross margin percentage improved by 40 basis points compared with the prior year’s Q4. More importantly at the segment level, services gross margin improved by 150 basis points compared with the prior year’s Q4 driven by improved contract management and utilization of personnel. The services improvement has been a primary focus and the fourth quarter improvement is a good sign. On the other hand, this improvement was almost completely offset by a 300 basis shortfall in international and most of our Q4 actions are designed to improve international for this reason. Operating expenses continue their positive trend that began in the third quarter. In the third quarter, operating expenses declined as a percentage of sales. In the fourth quarter, they declined in absolute dollars as well excluding the impact of the charges we took. EBITDA improved by $1 million in North America during the fourth quarter and the North American EBITDA margin improved as well despite the difficult market conditions. However, this improvement was negated by a very difficult fourth quarter for international. For the entire fiscal year, North American EBITDA improved by $10 million, or 15% over prior year, but this improvement was largely negated by international decline of nearly $8 million. Cash flow was another positive. Second half operating cash flow more than doubled to over $47 million enabling debt to be paid down by $42 million during this time. For the fiscal year, MISTRAS generated over $50 million of operating cash flow, an improvement of over 37% over the prior year. Free cash flow improved by over $15 million for the fiscal year as the company was able to reduce capital expenditures by nearly $2 million. Total capital expenditures including non-cash capital lease outlays were $23.1 million or 3.2% of revenue compared with 4.5% in the prior year. Debt and capital lease obligations net of cash was $123 million at May 31 compared with $155 million six months. Net debt to forecasted adjusted EBITDA was 1.6 times at May 31, down from over two times at mid year. And now I will comment on the actions we have launched to improve our margins. Our initiatives includes: one, pricing discussions with customers; two, contract operational reviews; three, our review of SG&A cost; four, reducing unbillable time in certain international countries; and five, improving in the Canadian oilsands region. Our view is that these five areas will have a continuing focus. There will be no finish line for any of them. I mentioned earlier that services margins had improved in the fourth quarter despite the difficult market conditions. And this is directly related to our focus on contract operational reviews. Sotirios mentioned our headcount reductions earlier and these resulted from our review of SG&A costs and our focus on reducing unbillable time especially abroad. Sotirios mentioned the important operational leadership change we made in Canada and this is directly related to our push to grow profitably in the Canadian oilsands region. Great emphasis continues on these five areas and we expect to continually improve from here. And with that Sotirios, I turn it back over to you.
Sotirios Vahaviolos: Thank you, Jon. I am proud of my team and its resilience in a tough market. Our planning is working in North America and we’re driving actions to get our international performance back up to par. And now I will update you on some key developments in our business. In the service segment, the oil and gas market remain subdue for new construction projects. However, we have doubled our efforts in such markets as petrochemical, power generation, and aerospace and have several promising initiatives in our sales pipeline. [Indiscernible] supporting the large LNG storage facility that has been built in the Gulf region although we were not the lowest cost provider, we will award this business by providing best-in-class productivity and responsiveness providing our customer with a best value given their demanding – giving their demanding requirements. The $20 million will positions us well as similar facilities are built in the future. Early indication suggests that the timing for upcoming turnaround may differ somewhat from traditional patterns possibly resulting from the refinery strike. For example, we have some unusual summer turnaround work now, but this could cause our fall schedule to be a bit lighter, more to come on this as schedules become more firm. And now let’s discuss the international business. As both Jon and I indicated earlier, this segment performed well below our plan and expectations in fiscal year 2015. Accordingly, much of our focus has been spent on diagnosing the problems and putting solutions in place. In some cases as in Russia and Japan, we determined or we’re expanding valuable management time, and capital in markets that don’t offer enough upside to our shareholders, so we decided to divest. In other cases as in Brazil and France, we believe that we have viable business, the need to refocus, realign the staffing, and cost structures, and improve their profitability, probability for success, which really means improve profitability. In both of these companies, we have installed new ERP systems, we have installed new financial controllers and in the case of France, we installed a new CEO. In Brazil, we are still relying upon Petrobras for half of our workload, but we have suite emphasis to work. They consider mandatory to perform as opposed to optional. In France, we have emphasized profitability of our contracts and only taken the work for which acceptable margins unheard. We expect that all of these changes will improve our results in fiscal year 2016 starting in the first quarter. In the UK, we suffer in part due to a tough prior year comparison and in part due to workload levels that you may not realize. We have made important branch level management changes and expect the situation to improve in fiscal year 2016. In Germany and the Netherlands, we experienced the cost of start-up operations that did not pay their way in fiscal year 2015. We have already achieved or we’ll now show achieved full certification status that will begin to earn a return on these investments in fiscal year 2016. The biggest upside potential we have in Germany is related to the production of new generation airbus planes. There is a chance that we will see some of this impact at the beginning of calendar 2016, but our plan does not assume this will be the case. Now I will provide a brief business development update. In France, we started the new fiscal year with a full backlog for our customized product business and our sales pipelines were with promising aerospace and power generation business opportunities. In Germany, we’re refocused on increasing our aerospace and automotive business, there are several promising leads. In the UK, our wind turbine division is very busy with both traditional and advanced services. In addition, we are performing advanced service forecast obviously in Africa and the Middle East including offshore work. In Brazil, we have an extensive backlog which if uninterrupted will allow for a return to profitability in fiscal year 2016. We also have a growing railroads inspection business where we are the one company in South America that performs continuous ultrasonic inspection with automated equipment. And now for my closing remarks and fiscal year 2016 guidance. Although, expectations for the price of oil will vary widely, the consensus view seems to be – but the present price rail would be the new normal for the foreseeable future. In this environment we are focused on operating as efficiently and possibly, maximizing our staff utilization and minimizing our capital outlays. Finding incremental value for our customers and driving our profitability initiatives are our top priorities. Our fiscal year 2016 began in June 1. As we have stated in the press release, our planning assumptions is that a liquidity from price of oil to be roughly $55 per barrel during this new fiscal year a bit higher than it was today – the last year, but lower than it was raised a couple of months ago. This pricing level we believe, the capital projects that have begun will continue. But we won’t – but the vast majority of tens of millions that have been expected would be a deferred. Additionally, the entire sector is seeking to reduce spending. Considering these planning assumptions, we expect that the organic growth that was typical for us would be much harder to achieve. Our fiscal 2016 plan assumes that we will have low single digit growth from both organic sources and from acquisitions that have already been made. This revenue growth would be offset by the reduction of approximately $20 million from adverse FX assuming that FX rates remain on today’s levers. And from our dispositions in Russia and Japan, we expect revenue ranged from $710 million to $725 million and increase including FX and dispositions of 2% to 4% over 2015 and 0% to 2% including these factors. Although these revenue growth levels are much less than we have achieved over the year, we believe it is prudent to set conservative plans in this environment. However, all of our shareholders were rest assured that MISTRAS will be aggressively seeking to grow both we win and outside of the oil and gas market as long as that growth drives a favorably bottom line impact. Regarding profit levels, we have made difficult decision to reduce our cost base and we will continue to be vigilant in doing what the market demands was. In fiscal year 2015, we had strong profit growth in North America that was offset by shortfalls abroad. In fiscal year 2016, we have a big opportunity to improve our international profitability and we are very focused on achieving this goal. We are establishing our initial EBITDA guidance range to be $72 million to $78 million, which represents an increase from 1% to 9% over fiscal year 2015. In concluding this conference call, I thank our loyal employees for their commitment to safety and quality, our loyal and value customers, and our loyal and valued shareholders. That concludes our prepared remarks. And we would like now open the floor for questions. Syed?
Operator: Thank you. [Operator Instructions] Our first question comes from Justin Hauke from Robert W Baird. Your line is open, please go ahead.
Justin Hauke: Good morning guys. Thanks for the comments there and I guess, I would like to start with just focusing on the restructuring since, it really is a discrete action, you guys have taken this time and it’s different than, I don’t want to use the term piecemeal, but it seems like this is a more holistic approach to looking at the cost structure. And I guess I'm just wondering is this a first step in kind of a broader initiative or do you expect this to be down or whether there would be more actions like this that we should expect over the coming year?
Sotirios Vahaviolos: Well, these results are basically as you tell is holistic in the nature, and of course if we don’t really get the results that we are expecting we will make more additional changes. You know we are prepared; we need to do whatever it takes in order to improve profitability.
Justin Hauke: So I guess the remainder of your international markets, are those markets as well, that you want to have a permanent presence in or is it more pruning that we might see going forward?
Sotirios Vahaviolos: Are you taking about the dispositions that we had?
Justin Hauke: Yes.
Sotirios Vahaviolos: Yes, we are actually basically, we sell a lot of products in these countries. And now representatives used to be our employees will be the ones in charge to selling it.
Jon Wolk: Yes, I’d say Justin, this is Jon, we feel good about our footprint going forward, I mean, there’s still – the possibility as Sotirios alludes to that we could do additional pruning back, if it turns out that in some markets, conditions change, whether not what we expect they’re going to be. But for now, we feel like where – our footprint is okay.
Justin Hauke: Okay. All right, thank you, that’s helpful. I guess the next question is I'm just trying to understand the margin improvement that’s embedded in the guidance it looks like it’s implying about 50 basis points or so, the EBITDA margin expansion. How much of that is continuing what we saw in the fourth quarter from the services side as a driver versus how much it’s – you really more that improving in international profitability?
Jon Wolk: I’d say Justin, that most of it improvement in international. I think that we believe we will continue to improve in services because we’re in the early innings of really focusing the operation and becoming profitable and the organization is responding well. The whole team is in sync with this direction and so we feel very good about it. But I think more of the improvement is projected in the international. I think that we can do, certainly higher up in the range the more of that were affected in this improvement internationally.
Justin Hauke: Okay thank you. And I guess, my last one is, just maybe if you could quantify, if you can and it may not a be a number that you have, but is there any number you can give us as the impact of I guess how the refining strike impacted the results and maybe a different way to asking it would be can you breakout the growth rate between half of you business that’s tied to the energy markets versus maybe the other half that is not so impacted by that?
Jon Wolk: Yes, I’d say that the impact of the strike really waned in terms anything that you could put your finger on and directly quantify. There is still some of our large sites that are running with fewer people as a result of the continuing impact but it’s not that material that you would really want to call out per say. And as that impact wanes, I think, we might have a slight pick up but again that wouldn’t really move the needle. I think that in the oil and gas sector we feel very confident with our customer retention, we feel very good about our value proposition and our discussions with customers. But I think implied in our guidance going forward is the expectation that growth will be harder to come by in that sector than it will be elsewhere.
Justin Hauke: Okay, thank you very much.
Jon Wolk: Thanks.
Operator: Thank you, our next question comes from Edward Marshall from Sidotti and Company. Your line is open. Please go ahead.
Edward Marshall: Good morning guys.
Jon Wolk: Good morning.
Sotirios Vahaviolos: Good morning.
Edward Marshall: So I just wanted to be clear the nature acquisition that you made, the Canadian business, as well, both of those run through North America or way in international segment.
Sotirios Vahaviolos: North America.
Edward Marshall: Right. And so North America, it still had some pretty good operating results and you’ve shown some pretty good improvement there with even including what’s probably are pretty tough businesses. Is there any success that you can kind of talk to the recommissioning of the assets in Canada?
Jon Wolk: When you say recommissioning of the assets in Canada…
Edward Marshall: Well you’re looking for a plan B right. So…
Jon Wolk: Okay.
Sotirios Vahaviolos: We’re looking for plan B and I think that is working for us but plan A start coming in we’ll start getting business on the origin of the customers are brought us in Canada. But really is in the initial stages and that’s all we can say at this present time. But we are really delighted that both plan A and B have started working.
Jon Wolk: That’s right.
Edward Marshall: So it was about less of a drag I guess in the previous couple of quarters here in Canada?
Jon Wolk: Yes that’s a good way of looking at. In Canada we have modest improvement in the second half of 2015 versus second half of 2014 and we feel, we’ve got some decent momentum as we head into the new fiscal year 2016.
Edward Marshall: And was that a bigger impact and maybe say some of the pricing or other operational reviews that you‘ve done in North America or was it a combination of pretty much all above?
Jon Wolk: Well, I think that the impact was really felt in fiscal year – the previous fiscal year, in the second half of the previous fiscal year and it continued into the first half of this fiscal year. We anniversaried that really in the second half of fiscal year 2015. So I think that the Canadian impact sort of baked in there at this point and it’s starting to modestly improve. In terms of the rest of it in terms of discussions with customers and so forth, those – we’ve been able to weather that storm, I think, and our customers we’ve worked together with them as we’ve really tried to solve for how do we provide value to them, increased value, enhanced abilities to reduce spending, suggestions from our technicians, our teams and so forth to really try to solve for what they need in this market.
Edward Marshall: Got you. You’ve done some work on the international business already taking some structural fixed cost out, you’ve taken some head count these actions were about $5.9 million annually, but my sense is the number, the benefit to you is mostly likely larger going forward. Have you been able to quantify that and then of course the timing, I mean, headcount generally happens pretty quickly, but is the timing of the recognition of those cost savings?
Jon Wolk: Yes, I think that, we’ll save by our count head we think we’ve taken about $3 million per year out of the cost base, there is some one-time charges in there and so forth that are non-recurring. But we think we’ve taken a good $3 million out of the cost based going forward with the work what we have done so far.
Edward Marshall: Okay, and then I guess, speak to the contract business, I think, you talked about may be the summer turnarounds excuse me, being a little bit strong than and unusually stronger than normal, have you aligned your contract since the fall and do you have a sense as to may be the strength to some of the, to the fall period as some of your, I guess competitors or peers alluded to?
Sotirios Vahaviolos: That would basically depends, in our case we had, as I said, it was unusually that we have summer turnaround so that was very exciting to us. But at the same time we do not know if that will affect the fall, because there are many changes that happen in daily in the turnaround area.
Jon Wolk: Yes the other thing is last year last fall we had a large customer that had a large turnaround. And based on our understanding of that customers’ timing of their needs and so forth, that probably won’t reoccur this fall but then again there’s some other work that will happen later and there is some other projects that will occur too. So you know trying to anticipate the fall right now, it’s a little tricky for us because schedules do move and plans do change we think that our fall might be a little bit later than the last fall but not materially so.
Edward Marshall: And when you think about just moving up the seasonality from a headcount, I mean, I’m assuming your employment is somewhat seasonal as well based around that. How will you manage kind of the employee base, that kind of address maybe the summer season, I’m sure they are later trying to get some work. But help me out just think about the potential for employment disruption there as you kind of have a heavy or something?
Jon Wolk: Well, that’s one of the advantages of being a large national provider as we are, I mean, we’ve got labs throughout the country that we can pull resources from. And so if anything what this does is an improved utilization in the summer and that’s how you managed something like that. We also have contractors occasionally that we pull in, in real peak fall seasons that takes some of the hedge off as well. And of course you got the ability to work overtime with your base. And that fills lot of gaps as well during the real peak seasons.
Sotirios Vahaviolos: That’s very important; I think the overtime is really key issue in our business. And the other thing as you know a slow seasons you know we train people, we always need to have training.
Jon Wolk: That’s right.
Edward Marshall: All right. So I’m assuming the leverage for the year is actually from a people perspective, it’s probably going to work in your favor base on this moving out of that seasonality. Is that a fair way to look at it?
Jon Wolk: I think there could be a modest positive in that. Yes.
Edward Marshall: Perfect, thanks guys.
Jon Wolk: Thank you, Edward.
Operator: Thank you. Our next question comes from Tahira Afzal from KeyBanc Capital. Your line is open. Please go ahead.
Tahira Afzal: Thank you very much. Hi, folks.
Sotirios Vahaviolos: Hi, Tahira.
Jon Wolk: Hi, Tahira.
Tahira Afzal: So it seems like what you guys are doing internationally makes a lot of fans. But I would like to get a sense you know there were a lot of changes you are bringing in structurally and in terms of people together. Jon, as you looked and how you baked those in into your guidance. Can you give us an idea of whether you could baked in a cushion in terms of how [indiscernible]…
Jon Wolk: Well, Tahira I think that there is always some degree of cushion whenever you get guidance. Our degree of conservatism is probably more or so in this year than it has been years past. Just because there is a lot of execution that needs to happen internationally. So we’ve hedged our best a little bit more now with our international guidance I mean, they are being held to more demanding plans than we’ve baked into this guidance. And we’ll be expecting them to achieve those numbers. So we hope to be able to exceed. But right now we think that guidance range is prudent given the amount of execution that has to have in a broad and given the uncertainty in the worldwide market.
Tahira Afzal: Got it. Okay, and it seems like pretty prudent I think you are one of the might few companies that has taken conservative stands to oil prices. So probably a good thing does that sets you up for a potential inflection, and Sotirios maybe you can comment on this, when you’ve seen the sentiments and the improve, having seen pretty immediate reactions of the positive in your business?
Sotirios Vahaviolos: Well, you know Tahira, on the oil when market up to 55% or 60% okay for couple – about a couple of weeks ago, everybody start getting excited and we had less people bothering us for price reductions. But now that is down to 45% again, we worry about…
Tahira Afzal: Got it.
Sotirios Vahaviolos: I’m Sorry?
Tahira Afzal: Sorry, no – I get what you are saying. Sotirios, if you look at the at all the deferred maintenance and clearly you know the frac spreads running well, it seems there is quite a lot of bent up maintenance. If I look at the last cycle it seems that, inevitably comes back with nine to 12 months lag, so it seem to build that conservatively in a sense given oil and gas budget, but if you look out into the spring turnaround, would you say versus what you baked into your estimate it has more chance by I was looking – upside versus downside?
Sotirios Vahaviolos: A little bit more conservative, because we have seen basically the turnaround is not to be as big as usually in over years ago, okay. So and the customers really are solving problems in the refinery rather than doing a company turnaround. So with that conservative we have baked – we have made the conservative as Jon mentioned more conservative this year than ever before.
Tahira Afzal: Got it, okay. And last question and I’ll hop back in the queue. You know if I look at the – your comments on Boeing this seems prudently conservative you know in terms of upside over there, can you sort of talk a bit about your sensitivity of Boeing orders actually go the other way and decline as well?
Jon Wolk: You know if anything we see an upward trend there, I think we try to be conservative there too, because you just never know what bill cycles, and given the challenges that the airplane manufacturers have in embedding new technology and into the new generation of aircraft. You know, certainly Boeing has had their problems and we expect airbus may as well, just because there is a lot of engineering invention that goes into that cycle. So we try to be conservative, we know the backlogs are huge, we are certainly position to service that business in the North Western U.S. and in Germany. I’d say in the North Western U.S. we are already getting more business,
Sotirios Vahaviolos: Business numbers.
Jon Wolk: Yes, that’s already is ticking up, and Germany I think it’s a little bit more of a wait and see, because the bill cycles expected to begin in calendar 2016. It is just a question what we catch that in this year’s 2016 or will it really move into our fiscal year 2017. But we certainly feel the upside is coming.
Tahira Afzal: Got it. Thank you very much.
Jon Wolk: Thank you, Tahira.
Operator: Thank you [Operator Instructions] Our next question comes from Matt Duncan from Stephens. Your line is open. Please go ahead.
Matt Duncan: Good morning guys.
Sotirios Vahaviolos: Good morning. How are you my friend?
Jon Wolk: Hi, Matt.
Matt Duncan: Good, good, thanks. So Sotirios, I want to talk a little bit about the North American market and sort of what your expectations are for spend and how your customers are reacting for the downturn in oil? Are you seeing your customers sort of pullback on the level of traditional NDT they are doing and may be opting for once they find a problem, they bring in an advanced technique to sort of really be able to get better data and determine when they might actually need to fix it, so may be they’re watching things closer instead of actually repairing them and using your advanced NDT services a way to do that. How exactly are you seeing your customers’ react to low oil and how is it impacting just sort of your day-to-day business?
Sotirios Vahaviolos: Yes, basically as you realize, Matt, we really have a lot of refineries and that’s our key business. The consumers are still being very conservative. The consumers are still looking to spend less. They are not asking us for reduction, but they are looking for spending less. And therefore, we have to be whatever – whatever basically methodologies we have – just keep in mind also a lot of the customers are started using risk-based inspection where basically they catalogue their assets by risk and they are doing less assets because they are not all risky. So everybody is watching their spending. And that’s really the end of the keys right now. That’s all I can say. That doesn’t mean that it would be a zero business. It doesn’t mean that we’re now going to be more turnarounds. It doesn’t means that they might be more conservative in the spending.
Matt Duncan: Sure, so is it your view then that the North American market and maybe just the U.S. more specifically is going to be a fairly flat market for inspection given that it’s sort of a necessary evil they have to do it. So unless they’re closing a plant – not inspects. So as it really just that we kind of flatten the market out here?
Sotirios Vahaviolos: As of now I think we will – I will seek to more flat or may be some increases in the spring.
Matt Duncan: Okay. And then last question I’ve got you’ve talked a lot about cost cutting actions that you’ve taken in international markets. I’m curious about sort of how you’re looking at the U.S. business. You did get a good gross margin improvement this quarter in the services business versus last year of it. My recollection is last year was a very depressed level as well. And I know historically you have had better gross margins in the services segment than you have right now and I’m curious what you think the gross margin potential is for the services segment. Are there opportunities to maybe reduce headcount a little bit and sort of geographic hotspots where the energy customer base is cutting back or you finding opportunities to improve that margin profile as well?
Sotirios Vahaviolos: We’re looking to improve. Okay, they are not baked on our guidance, but we’re still looking to improve and the cost will continue.
Jon Wolk: Yes, Matt, I mean, we’ve seen some dramatic increases in some of our contracts that we’ve realized zero to none, focused on operational capabilities that we’ve got and things within our control to manage a little bit efficiently to use resources, a little bit more creative, to substitute in some cases resources for some of the people who have been doing some of the work and shuffle resources around. And what we’re seeing is in those contracts where we’ve been able to do that so far. The increases have been impressive. Our contract management team is doing a great job in highlighting these opportunities and our services management team is doing a great job in executing and putting those recommendations and others into play and realizing gains. It’s hard to really say, look here is the range and so forth, but I really do believe that as we continue on this journey we can get backup to levels that we’re at a couple of years ago.
Matt Duncan: And so Jon, if you guys taking that sort of stuff into account in the guidance range or with that improvements in those margin serve is upside to the range?
Jon Wolk: I think that there would be more upside in the range from those kinds of initiatives. I mean, as I look to this guidance, I would say there is really upside from two sources. There is upside from that factor that we just mentioned, the continued contract management gains and focus. There is also upside in our international subsidiaries doing better than we have sort of conservatively hedged the results to being within this guidance range. On the downside, we are anticipating at least $55 per barrel as sort of the benchmark. And when we say that, it’s not like our results directly correlate to any particular metrics like that with more sort of a gauge of sentiment if you will from the customers in terms of their wiliness to spend and to do projects. And to the extent to that we will get at least $55 per barrel. I think that implies sort of a spending range and a willingness to spend and that’s within our guidance. If this is much below that that would be a downside.
Matt Duncan: Okay, very helpful. Thanks guys.
Sotirios Vahaviolos: Sure.
Operator: Thank you. Our next question comes from the Jeff Volshteyn from JPMorgan. Your line is open. Please go ahead.
Jeff Volshteyn: Good morning and thank you for taking my question.
Sotirios Vahaviolos: Good morning, Jeff.
Jeff Volshteyn: Good morning. I wanted to focus on your areas of – excitement in areas of focus power, chemical, and aerospace. Can you expand a little bit your commentary on what geographies do you target, what are some of the pricing trends that you see in those markets?
Sotirios Vahaviolos: Yes, in the case of power generation, we already are in a couple of the nuclear power plants that they’re building. So we have a lot of experience in that area. There is many locations around the country because we’re attacking that market not only services, but also selling products. In the case of the aerospace – in the case of the aerospace, we still think that are very, very strong and certifications plays a big role. In Germany, finally, we start receiving the certifications that will be very, very appropriate for us to do the business for the new airplanes like the 350. So, we’re very excited about the power generation and the aerospace business.
Jeff Volshteyn: I think you mentioned automotive, is that an area of focus for you?
Sotirios Vahaviolos: No, no, no automative. Automotive basically for us is not a big area.
Jon Wolk: Well in Germany we’re doing…
Sotirios Vahaviolos: Yes, some but it is really a small area.
Jon Wolk: That’s right.
Sotirios Vahaviolos: But it is a small business for us Jeff.
Jeff Volshteyn: Okay, that’s helpful. And then if we take your assumptions for oil, I know it’s a big assumption based on what you’re seeing today does it seem like 2016 is sort of a trough year for revenues and when I look at the cost efficiency that you’ve already achieved, are those enough to delivering your guidance?
Jon Wolk: The way I put at Jeff is that it’s hard to know what the trough year is going to be I mean because none of us knows really what the market is going to do going forward. But I think most of the prognosticator seems to feel like this period of time right now is sort of a new normal for now and that there will be upside to this sort of energy market price in the future and what will be we will see. So if that construct – if that general feeling holds true then I think this would be sort of a trough year for our growth organically and we will have a considerable upside from there. In terms of the cost reactions that we have taken in the guidance, certainly, we have taken enough actions that we believe will enable us to comfortably achieve this guidance. And you know provide some upside to it. So that that sort of our general sense of it.
Sotirios Vahaviolos: And we’re also surprised really what happens to us in the summer because we showed something that we never showed before.
Jon Wolk: In terms of additional turnaround.
Sotirios Vahaviolos: In terms of – in addition turnaround, et cetera. So it’s really we see market is very, very strange to us sometimes, okay. It’s really – it has a lot of ups and downs that we have never had before.
Jeff Volshteyn: Okay and that’s helpful. And last question from me. Just in your revenue growth assumption for 2016, can you split up the impact from divested businesses versus FX in your guidance?
Jon Wolk: Yes, the FX is about negative 16 or so and the impact of the dispositions is about negative 4 or 5.
Jeff Volshteyn: Okay, thank you so much.
Sotirios Vahaviolos: Sure, thanks.
Operator: Thank you. I’m showing no further questions at this time. I would like to hand the conference back over to management for closing remarks.
Sotirios Vahaviolos: I would like to thank everyone for listening and we wish you all a great day. Thank you very much for listening.